Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2014 Interface Incorporated Earnings Conference Call. My name is Lisa and I’ll be your operator for today. At this time all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) I would now like to turn the conference over to your host for today, Mr. David Foshee. Please proceed.
David Foshee: Thank you, operator. Good morning and welcome to Interface’s conference call regarding third quarter 2014 results. Joining us from the company are Dan Hendrix, Chairman and Chief Executive Office; and Patrick Lynch, Senior Vice President and Chief Financial Officer. Dan will review the highlights from the quarter, as well as Interface’s business outlook. Patrick will then review the company’s key performance metrics and financial results. We will then open the call for Q&A. A copy of the earnings release can be downloaded off the Investor Relations section of Interface's website. An archived version of this conference call will also be available through that website. Before we begin formal remarks please note that during today's conference call management's comments regarding Interface's business, which are not historical information, are forward-looking statements. Forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially from any such statements, including risks and uncertainties associated with the economic conditions in the commercial interiors industry as well as the risks and uncertainties discussed under the heading Risk Factors in Item 1A of the company's annual report on Form 10-K for the fiscal year ended December 29, 2013, which has been filed with the Securities and Exchange Commission. We direct all listeners to that document. Any such forward-looking statements are made pursuant to the Private Securities Litigation Reform Act of 1995. The company assumes no responsibility to update or revise forward-looking statements made during this call and cautions listeners not to place undue reliance on any such forward-looking statements. Management's remarks during this call refer to certain non-GAAP measures. A reconciliation of these non-GAAP measures to the most comparable GAAP measures is contained in the company's earnings release and Form 8-K filed with the SEC yesterday. These documents can be found on the Investor Relations portion of the company's website, www.interfaceglobal.com. Lastly please note that this call is being recorded and broadcasted for Interface. It contains copyrighted material that may not be rerecorded or rebroadcasted without Interface's expressed permission. Your participation on the call confirms your consent to the company's taping and broadcasting of it. Now I'd like to turn the call over to Dan Hendrix. Please go ahead.
Daniel Hendrix: Thank you, David. Good morning, everyone. Between our preliminary release and our final earnings release yesterday we’ve covered a lot of grounds. I know you’re familiar with the story. But let’s start with a quick summary. Our top line was lighter than expected for three primary reasons. First of all, our order level for the full quarter was good at 236 million. It had a building trend over the course of the quarter, based on the lighter order intake at the beginning of the quarter our manufacturing throughput was less than optimal. Second, we had some disruptions in the yarn supply that constrained our output. Lastly, while our backlog is very healthy at 33% since the beginning of the year, some of those orders were pushed by customers into the fourth quarter and we weren’t able to ship them. These factors resulted in a manufacturing throughput shortfall that put pressure on gross margin, particularly in the Americas business. As these dynamics were playing out during the quarter it causes to take a much harder look at our cost cutting initiatives, and substantially expand our announced restructuring plans. At the end of the analysis we incurred a restructuring in asset impairment charge of $12.4 million, which is much higher than the $3 million to $5 million estimate that we gave you at the beginning of the quarter. We have several initiatives underway to address the challenges we saw in the third quarter. And I’d like to outline those for you now. First, we reduced our manufacturing costs in a number of key respects. These include headcount reductions, reengineering our products and processes, improving efficiencies and raw material pricing. As an example, we have production automation coming online to take out some of the complexity and costs associated with our popular plank products. Second, we’re substantially cutting our SG&A expense, in large majority our restructuring plan is focused on SG&A and as a short-term payback period. Based on our amped up restructuring activity we expect SG&A to come down to around $250 million for 2015. So we expect higher throughput in the fourth quarter based on a large backlog, good order trend over the last eight weeks, particularly in the U.S. and Australia, which are two largest markets. At FLOR, we have restructured the management team and as with our other businesses, this will be accompanied by cost-cutting initiatives. We’re also refocusing the brand identity of FLOR business around sustainability to attract new customers and energize the existing customer base. In addition, like last year we expect our fall sales to have a positive impact on the FLOR revenue during the fourth quarter. Overall, our restructuring plan is expected to yield annual cost savings of about $14 million. In addition the plan we announced for refinancing our debt which is scheduled to be completed December 1 is expected to result in a $12 million to $13 million annualized interest savings based on the current rate levels. These are substantial savings that should flow through to our bottom line. We begin to realize some of the benefits during the fourth quarter, but we won't begin to realize the full benefits until next year. Based on our strong demand over the past two months in our two largest markets of the U.S. and Australia, our restructuring and refinancing plans, and all the manufacturing improvements underway, we should be in a much improved operating and capital structure as we close the year and enter 2015. With that, I’ll turn it over to Patrick.
Patrick Lynch: Thank you and good morning everyone. I’ll take a few minutes to walk through the financial results for the third quarter. Sales for the third quarter of 2014 were down less than 1% to $252.2 million compared with $254.5 million in the third quarter of 2013. On a consolidated basis there was not a significant currency impact in the sales for the quarter. Due to the items Dan has already identified earlier we saw gross margin decline to 33.1% for the third quarter of 2014 versus 36.1% in third quarter of 2013. In the Americas, sales were essentially even for the quarter versus the third quarter of 2013. The corporate office market was up less than 1% while increases of 53% in the hospitality segment and 89% in the multi-family residential projects were offset by declines of 6% and 2% in the retail and government market segments respectively. Europe experienced a sales decline of just under 4% for the quarter. The decline was most acute in the government market segment which accounted for the majority of the decrease. Corporate office experienced an approximate 1% increase compared to the third quarter of 2013. Asia-Pacific was a bit of a mixed bag for the quarter as Australia continued to rebound during the quarter while Asia experienced a sales decline in most markets. For the region, the overall increase was 3%, which was a 13% increase in Australia offset by 6% decline in Asia. In Asia-Pacific we experienced an overall increase in the healthcare and education market segments. As it relates to SG&A we stayed relatively even compared to the prior year. For the third quarter 2014 SG&A was 25.4% of sales versus 25.1% in the third quarter of 2013. The majority of our restructuring savings we incurred during the quarter will flow through to the SG&A line and we expect to see a declining level of SG&A through 2015. Dan mentioned $250 million SG&A target for 2015. I think we’re well positioned to achieve that after the restructuring initiatives we’ve implemented. As described in the press release we incurred a pre-tax restructuring and asset impairment charge in the third quarter of about $12.4 million. The charge is comprised approximately $9.5 million of cash expenditures for mostly severances and approximately $2.9 million of non-cash charges for the write-down on carrying value of some impaired assets. The restricting plan is anticipated to be substantially completed by the end of 2014 and is expected to yield annual cost savings of approximately $14 million beginning in early part of fiscal 2015. Due to the factors identified above operating income in the third quarter 2014 excluding the restructuring and an asset impairment charge was $19.6 million or 7.8% of sales compared with $27.8 million or 10.9% of sales in the third quarter of 2013, including the restructuring and asset impairment charge, operating income for the third quarter 2014 was $7.3 million or 2.9% of sales. Interest expense in the third quarter was $5.6 million compared with $6.3 million in the third quarter of last year. Depreciation and amortization was $7.1 million this year versus $8 million in the third quarter of last year. Capital expenditures in the quarter were $10.1 million compared with $14.1 million in the comparable period in 2013. For the full year of 2014 we expect capital expenditures to be in the range of $40 million to $45 million. Quickly to the balance sheet, we excited the quarter with $68.5 million in cash which reflects an increase of $18.5 million, as compared to the end of the second quarter this year. Inventories were $162 million versus a $162.8 million at the end of third quarter last year. DSOs were 51.8 days compared with 48.2 days in the year ago periods and inventory turns were roughly the same year-over-year at 4.1 turns. With that, I’ll open the call up for questions. Operator?
Operator: (Operator Instructions) And your first question comes from the line of Matt McCall with BB&T Capital Markets. Please proceed.
Matthew McCall – BB&T Capital Markets: Thanks, good morning guys.
Patrick Lynch: Good morning.
Daniel Hendrix: Hi, Matt.
Matthew McCall – BB&T Capital Markets: So, the focus on the gross margin and the cost of goods savings that you talked about, Dan, the headcount reductions and reengineering, and specifically I’m curious about the timing of those savings. And then from a reengineering front, what does that mean? What are you doing? And then again what’s the timing of any savings?
Daniel Hendrix: Well, I don't want to give away some trade secrets, but I will say that on the reengineering we are taking some weight out of our products that we think we can actually save some pretty good money by doing that. We're also putting in line boxing related to our plank business. We made a decision that go up with planks early because we wanted to capture the market with planks and then we've been engineering how to automate that process. That will be in January of 2015.
Matthew McCall – BB&T Capital Markets: Okay, and then when you talk about the savings you broke down I think in the prerelease the total savings you are expecting. I thought more of it was SG&A than gross margin. Did I misunderstand that and then other savings which you are targeting how much is SG&A, how much is cost of goods?
Patrick Lynch: Well, the amounts identified in the restricting charge about $9.5 million of the $14 million is going to flow through to the SG&A line. And the balance is through cost of goods sold for the restructuring. Now, there are in addition to that there was a number of cost reduction initiatives that we’re implemented in the manufacturing process that we’re not eligible for restructuring accounting and those had been implemented as well, as we head into 2015.
Matthew McCall – BB&T Capital Markets: Okay. And so what shall we assume from a timing perspective on recognizing the savings?
Patrick Lynch: Well, in the near term the production levels in Q4 will probably have the biggest benefit to gross margins on a sequential basis with the improving order demand profile in September year-end and October, particularly in the Americas. That will have the biggest benefit, so our expectation is that margins will be better in Q4 than they were in Q3. The reengineering and processes in automation activities as Dan identified earlier, those are underway hopefully completed by the end of 2014 and start to see the benefit of that early part of 2015.
Matthew McCall – BB&T Capital Markets: Okay, okay, perfect. And then, the final one on the September and October order trends you said Americas was specifically strong. Can you talk about the makeup of that order pattern? Is it a good order pattern, and that the mix is going to benefit you, corporate offices maybe strengthening? Can you just talk about how it should play out and how it’s going to impact margins?
Patrick Lynch: Yes, the one thing we’re seeing, Matt, is that in the U.S. business we’re up pretty substantially in the last eight weeks and a lot of that's attributable to the office building starting to come through.
Unidentified Analyst: Can you throw a number on the office growth?
Daniel Hendrix: Yes, the Americas in total, well, I don’t have the office in particular versus the other segments, but Americas through the first three weeks in Q4 is up 22%.
Unidentified Analyst: And a lot of that is office?
Daniel Hendrix: A lot of that is office. Top ten orders and a lot of it is office now.
Unidentified Analyst: Office. Okay. Thank you, guys.
Operator: Your next question comes from the line of Glenn Wortman with Sidoti & Co.
Glenn Wortman – Sidoti & Co.: Yes, good morning, guys.
Daniel Hendrix: Hi, Glenn.
Glenn Wortman – Sidoti & Co.: Yes, I'm actually – just a little bit of clarity here. So the savings that you expect from these reengineering processes, are those included in the restructuring savings that you've outlined, or they are in addition to?
Daniel Hendrix: They're in addition.
Glenn Wortman – Sidoti & Co.: They're in addition to, okay. And then your outlook for SG&A for 2015, $250 million, what level of sales is embedded in that forecast?
Daniel Hendrix: We aren’t embedding. We are not putting up sales forecast on that. We are just saying, we are going to have an absolute SG&A number of 250, and if we get the sales growth, then we will have a bigger contribution margin.
Glenn Wortman – Sidoti & Co.: Okay. And then with oil prices coming down here over the past month or two, are you expecting to see any cost relief in coming quarters?
Daniel Hendrix: We have not seen that yet. Our yarn supply is tied more to caprolactam and benzine as the building blocks and that has not come down a lot yet.
Glenn Wortman – Sidoti & Co.: Okay. All right. Thanks for taking my questions.
Daniel Hendrix: Sure.
Operator: (Operator Instructions) Your next question comes from the line of Mike Wood with Macquarie. Please proceed.
Unidentified Analyst: Hey, guys, this is Adam in for Mike. We understand the gross margins in the Americas are below 30% in the quarter. But how of the weakness came from the yarn issue and what should they return to in 4Q and what are the sort of actions you are taking to get to that mid-30% gross margin goal in the Americas?
Daniel Hendrix: Yes, I mean, that in particular, I think, we identified earlier would really be the benefit. The big issue really in Q3 was the production levels were down over 15% on a year-over-year basis. I would expect that sequentially production levels would be much higher in Q4 and that will rectify, I think a lot of the issues that we had in the margins in the Americas business in Q3.
Unidentified Analyst: Okay, great. Thanks.
Operator: Your next question comes from the line of Josh Borstein with Longbow Research. Please proceed.
Andy White – Longbow Research: Hi, guys. This is Andy on the line for Josh. In regard to the restructuring actions, we were wondered if you could just walk a little bit through what part of the business those actions can be taken and whether it’s for Europe or other parts of the business, and kind of what action – what you will be targeting with those actions?
Daniel Hendrix: Well, it’s primarily headcount reductions. It’s about 100 people that are affected across the organization, in rough percentages about 45% of it is in our European business, roughly 20% across Asia-Pacific and then the balance is across our Americas business into include the four business as well.
Andy White – Longbow Research: Okay, that’s helpful. And then the customer deferrals that you’ve talked about in Europe, can you discuss a little bit what you are seeing in different – the different markets in Europe whether it’s the UK, Germany, France, where the biggest issues are?
Daniel Hendrix: Well, we certainly have seen a softening order pattern in the early part of Q4 across our European business. And I wouldn’t necessarily tie it to the deferral issue that we had in Q3. These are just a softening order patterns here in the early part, most of it – the softness seems to be in the UK, Ireland piece of the business early on. I mean, we're down about 20% year-over-year through the first three weeks, about 17% in local currency on a year-over-year basis in Europe.
Andy White – Longbow Research: Okay, great. Thanks for taking my questions.
Operator: There are no additional questions at this time. I would now like to turn the presentation back over to Mr. Dan Hendrix for closing remarks.
Daniel Hendrix: Thank you. Thank you for listening to the conference call and we'll speak to you in February.
Operator: Ladies and gentlemen that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.